Selena Chong: Good morning, everyone, and welcome to our First Half FY '26 Results Briefing. Today, we are pleased to have with us our Group CEO, Mark Chong; CFO, Isaac Mah; and COO, Neo Su Yin. So this session will be webcast live and recorded. So without further ado, let me hand over to Mark Chong.
Chin Chong: Yes. Thanks, Selena. Actually, before we jump in, could we -- could I know who is online?
Selena Chong: It is audience, participants of the webcast. [Operator Instructions]
Chin Chong: So thank you, everyone for coming to our results announcement for H1 of FY '26. My name is Mark Chong. I'm 10 days old on the job, I think there may be a fair bit of interest on how we are going to take the company forward, our strategy. I really would like to share those with you when we are ready. But being only 10 days on the job, I'm afraid there's not much I can talk about on the future plans. Today, we are really talking about the results announcement. So that's going to be the focus of this section. And you know that SingPost has divested some assets overseas. We have folded the international division into the domestic ops. We are now a single entity. We have dropped the group -- the word group from our titles. We are just as we are. So the immediate order of business for us right now is to ensure that our business, our core business run well. Our customers are well served. So we are looking at for the immediate-term operational efficiency, widening our network to serve our customers and keep the core business running well. Through our recent divestments, we, of course, received the proceeds. We have paid out a special dividend. We have paid down debt, a chunk of debt, and we'll keep the rest for our working capital, et cetera. So we will continue to maintain a disciplined capital management approach [Technical Difficulty] and therefore [Technical Difficulty]. So those are the immediate priorities. For the results, I will now hand over to Isaac to take us through. Thank you.
Isaac Mah: Thank you, Mark, and good morning. As Mark conveyed, our focus is on a stable and sustainable future, underpinned by a strong financial position. And this first half really has been defined by actions that reflect that commitment. We completed a major organizational realignment following the sale of the Australian business. This was an important step to ensure that our corporate structure is rightsized, optimized for the remaining side of the business. This included removing overlapping corporate support functions, integrating the cross-border operations into the Postal and Logistics business in Singapore and further streamlining activities. Along with that, we have concluded several transactions. This includes the unwinding of the cross-holdings with Alibaba, leading to the divestment of 4PX and the cessation of the joint venture Quantium Solutions. Various Quantium Solutions subsidiaries have also since been divested, and we have also completed the sale of the freight forwarding business, Famous Holdings. The combined result of these actions is a stronger balance sheet, providing the financial flexibility and foundation for future growth. Next slide, please. Now our operational developments over the first half are centered on 2 areas that enhance our capacity, efficiency and reach. First, on the capacity front, the SGD 30 million investment to expand parcel sorting capacity at the e-commerce logistics hub in Tampines is on track and expected to be fully operational by mid-2026. E-commerce remains a growth driver for the logistics business. As such, we are tripling our capacity to address demand, efficiency and service quality, which in turn will enable us to scale up this business segment efficiently. On the network front, we expanded our reach across the island through strategic collaborations and partnerships to offer customers maximum convenience and choice. This includes partnerships with Pick Lockers, Cheers and FairPrice Xpress outlets. We have also been deploying 24/7 POPDrop kiosks that provide a one-stop service to customers. Our post office also serves as partnership touch points with DHL and FedEx. We have also started a trial for the posting and return of mail directly at the Letterbox nests of several HDB housing blocks. If successful, this may be rolled out island-wide, which will enhance customer convenience. These investments in capacity and network are key, not just to make the business more efficient, but also to solidify our competitive position and serve customers even more effectively. Now on to the financials. As we move from the second half of the last financial year into a review period, cost discipline was key. This has enabled the company to reverse from a SGD 0.5 million loss in the preceding 6 months to an underlying net profit of SGD 5.5 million this half. The operational discipline, costs have come down, reflecting 2 key drivers: one, organizational streamlining and cost management efforts; and two, the reduction in expenses in tender with lower volumes and revenue. The recent divestments have led to exceptional gains on disposal of about SGD 9 million. There is also a fair value gain on SingPost Center of SGD 5.5 million in exceptional items. As a result, profit from continuing operations was higher at SGD 20.6 million. In comparison, discontinued operations incurred a SGD 2.2 million loss this half compared to a SGD 21 million profit in the prior period when the divested Australian business was still included. Put together, net profit was 17% lower year-on-year. Excluding these exceptional gains, the underlying net profit or UNP was SGD 5.5 million, lower year-on-year, but as mentioned, better than the loss in the second half of last year. The lower UNP year-on-year is attributable to 2 main factors: the loss of profit contributions from the Australian business, which previously bolstered our results, the softer performance in the cross-border business, which I'll cover next in the segments. Now with the change in SingPost profile, we have revised the business segments to Logistics and Letters, Post Office Network and Property Assets. This change was from Australia, International and Singapore. Logistics and Letters, which now cover the delivery business, both domestically and internationally as well as other services is our largest segment by revenues. Post Office Network comprises agency services, product sales and rental of space and the post office. Property Assets refer to rental and related contributions from properties, the largest contributor being SingPost Center. Now moving into a segment-by-segment review. Logistics and Letters faced a challenging operating environment, which resulted in lower revenues of SGD 153.5 million and an operating loss of SGD 4.4 million. Letter mail volume continued its structural decline, a trend that we have been managing for some time. Volume of domestic e-commerce deliveries softened about 3% over the period. In contrast, cross-border e-commerce volume fell by 63% year-on-year, a reflection of the difficult market conditions in that space. This was part of a much larger global trend, which has seen significant volatility, particularly with the U.S. tariff situation. We have taken actions to streamline the cross-border operations and also implement cost management measures to align with the reduced business activity. Along with the drop in volume-related expenses, the segment operating costs have fallen about 27% year-on-year. Now moving on to the Post Office Network. In the Post Office Network, the decline in revenues was mainly due to lower agency services revenue. This was partly cushioned by higher rental income from leasing within the Post Office Network properties. Our efforts to control costs and optimize the network yielded results. Costs were reduced by 13%, which lowered the operating loss from SGD 6.7 million to SGD 5.8 million. Property Assets. Property Assets comprises property rental and related activities and mainly at SingPost Center. The segment continues to provide consistent revenue streams. With a focus on maintaining high tenancy levels, we saw improved revenue performance driven by rental growth at SingPost Center. Overall occupancy rate was 99.2%. Operating profit was lower, primarily due to higher expenses like property management service costs and property tax. Now on to the balance sheet. There are a couple of points I would like to highlight. One, the balance sheet movements are largely the effect of the consolidation of subsidiaries that were divested. Two, with the divestments this year, including the Australian business, our financial position has been strengthened by proceeds from disposals. The company's cash position is SGD 594.1 million. This provides us with financial flexibility, enabling the funding of operation investments as well as future requirements. To complete the financial picture, let me highlight some points on cash flow. Cash flows generated before working capital was lower compared to the prior period. This was expected primarily due to the absence of contributions from divested subsidiaries. The negative operating cash flow after working capital changes was driven mainly by higher settlement of payables. Investing cash flows was largely due to proceeds from disposals, reflecting the realization of value from these noncore assets. Financing cash flows was primarily -- financing cash outflows was primarily due to the special dividend payout to shareholders in August with respect to the sale of the Australian business. Now lastly, I'm glad to share that the Board has declared an interim dividend of SGD 0.08 per share, which represents 30% of the UNP for the first half. That concludes my presentation. Our disciplined approach has positioned us well for the road ahead. With that, I will hand over to Selena to move on to the Q&A session. Thank you.
Selena Chong: So, Mark, Isaac [Technical Difficulty].
Chin Chong: Yes. Why don't we start.
Selena Chong: If anyone has any questions to [Technical Difficulty], can identify yourself for the benefit of audience of the webcast.
Unknown Analyst: [Technical Difficulty] Just 2 questions from us. First is how should we think about [Technical Difficulty]. Second question is could you give more color about segment of [Technical Difficulty] for cross-border customers and also what is your outlook for the segment and [Technical Difficulty].
Isaac Mah: So first off, we don't typically comment on [Technical Difficulty]. I think what you've seen in our presentation is that we have actually executed very well on several cost control initiatives. We will continue to see the efforts of this in our numbers. Going forward, we believe that there continues to be good opportunities in the Letters and Logistics space, and we'll continue to build on our network as well as our service levels, which would then ensure the right for us to play in this region. Su Yin, anything you want to add to that?
Su Yin Neo: Yes. I think as you know, with the geopolitical situation as well as [Technical Difficulty] structurally being a lot inner in order for us to then take the strategic review [Technical Difficulty].
Unknown Analyst: [Technical Difficulty] So the structural decline of the Post Office Network also the volumes, how do you actually stop that because this is a structural problem. So is there any plan for any [Technical Difficulty] what are the key plans to stop this structural decline because this has been happening over the last 10 years, actually it is still in decline. So how do you encourage people to use more [Technical Difficulty] structural decline. I think you have seen that this is not possible [Technical Difficulty].
Chin Chong: I think the decline of postal post structurally that cannot be [Technical Difficulty]. So we will follow its course and all that. But I think what was good that [Technical Difficulty] was the arrival of e-commerce, the growth of e-commerce. So parcels came along, and I think SingPost played quite hard on the post side. And what we have to do going forward is to make ourselves competitive. So I think what we have as advantages are, of course, we still have the postman who cover all the blocks and all the letterbox nest. So we will leverage on that better quality of service in terms of touch points, et cetera. And I think you note our investments in SGD 30 million in the sorting new, the Tampines hub also to lower our cost to serve, right, and provide higher CapEx. I think the decline in the cross-border volumes, obviously, we have to [Technical Difficulty].
Unknown Analyst: So for your SGD 30 million investment, right, decrease of cost, right. So what's the -- how much cost you decrease? So for example, your average -- no, no, I think you decrease your overall cost. The SGD 30 million investment you have to decrease your overall cost per package [Technical Difficulty] reduce the cost. So how much cost will actually decrease. So for example, let's say package previously cost will be x amount to deliver. So this SGD 30 million based on the same volume of the decrease percentage.
Su Yin Neo: Well, it is very specific to the processing segment of the entire delivery to almost half of the cost [Technical Difficulty]. Currently the cost [Technical Difficulty] a lot of it is manpower cost. As you know, manpower cost continues to increase year-on-year. So that's something that the automation is meant to deliver as an outcome, [ 2 ] vessels to get productivity as well as give us more capacity to offer more cost-effective solutions to our customers.
Unknown Analyst: And this reducing cost is including depreciation?
Su Yin Neo: Yes.
Unknown Analyst: [indiscernible] 2 questions. One on Logistics and Letter, the international part, how much of the decline was actually [Technical Difficulty] supply chain realignment and how much was really a competitive loss assuming the volumes are pretty much bottomed out, let's say, all your postal volumes, this is the worst [Technical Difficulty]. How much more rationalization of postal network is needed [Technical Difficulty].
Su Yin Neo: I think the structural decline of mail is clearly an evolution that has undertaken over the last decade or so. E-mail is coming in, everyone's gone digital now. There is still obviously a proportion of our population that still requires physical letters and centers. So that will continue. The decline will continue to come given that more and more digitalization is ongoing. Government is also pushing direction. Clearly, government has also now taken a position that it's digital first but not digital only. So this will obviously try to buffer that decline somewhat. But that said, I think in relation to the parts of the e-commerce business, which Mark touched on earlier, where we utilized the infrastructure as well as the network that mail to also deliver e-commerce, I think that's where we are, one, our assets a lot harder. But in that case, given change and shift in the volumes that we're doing in the nature of the business as well. We will continue to be looking at how we can evolve the network. We also want to change the way we do deliveries to meet the new and coming demands of our customers. So that will be an ongoing process because while, as you know, the market is very competitive in the last [Technical Difficulty]. We are obviously still as part of the strategic review, reviewing how we can utilize our assets lot differently to get greater yields for revenue, so that's also part of the overall review of our business.
Unknown Analyst: So you think there is more upside to the international...
Su Yin Neo: I think the international...
Unknown Analyst: Is it more like a blip or maybe really the new...
Su Yin Neo: So I think if you observe what's happening in the cross-border space, whether it's the big boys, even your DHL, FedEx and all, I mean these are obviously issues now being half empty. This is an issue that is affecting everyone globally in the landscape. I don't think it's unique to SingPost. Where our position will be other thing is we will then look at where is the space that we can play in the cross-border and international business. I think that's also part of the strategy that we want to undertake.
Unknown Analyst: And on the postal network...
Chin Chong: On the cross-border trade, there's a lot of uncertainty right now. I think we all know. One day, there's tariffs on China and other day, there's no tariff tariffs. So we are also adjusting the government.
Unknown Analyst: On the postal network, more rationalization before assuming everything remains...
Su Yin Neo: As I mentioned earlier, as we our business the last mile e-com part of the network, we are still rationalizing whether that network is efficient in how we manage it, whether it versus fixed base, cost base, variable cost base. So these are things that we are undertaking. I can't give you an answer right now, but I think what we are trying to do is to meet whatever customers need, evolving needs that our consumers have to make sure that we deliver the best cost-effective for [Technical Difficulty].
Isaac Mah: Maybe just to add on to what Su is saying, I think our press release and we also said now 80% of Singaporeans can reach touch points in 10 minutes. And the network size -- total network size is [Technical Difficulty] [ 2,500 ]. So I think this is a very core part of what we do, and this I think [Technical Difficulty].
Su Yin Neo: I think just to add on to what Issac mentioned, if you look at the network expansion that we've undertaken in the last couple of months, we have not put in any money. It is really leveraging on existing infrastructure, working with partners using their infrastructure to extend the level of [Technical Difficulty].
Unknown Analyst: [Technical Difficulty] So what's the current plan in terms of years? I'm asking in terms of years that you can foresee business -- the core business property turning around to rather I would say, decent profit or rather a sizable profit to justify the current market valuation.
Isaac Mah: So maybe just focus on what we're sharing the first half. So I think the key message is that last half, there were losses. This half we have turned the corner, right? So significant efforts have put through. There's still work to be done. We are also in the process of the strategy [Technical Difficulty].
Chin Chong: Your question will be answered when we have completed our [Technical Difficulty].
Unknown Analyst: [Technical Difficulty] I understand you're coming.
Chin Chong: [Technical Difficulty] I think many people have asked. We thank everybody's patience. As we are doing this strategic review, I think once we are ready, we will be very happy to answer all these questions.
Unknown Analyst: Do you have an answer to the clients.
Chin Chong: I don't have answer to that, but we are doing [Technical Difficulty].
Unknown Analyst: Just 1 question. So actually, why do you choose to. [Technical Difficulty] I mean Singtel is quite stable and doing very well.
Chin Chong: It is a very good question, but since we are on the results announcement and not [Technical Difficulty].
Unknown Analyst: Postal network additional agency services can you...
Chin Chong: Sorry.
Unknown Analyst: On the postal network to optimize the revenues better, what additional agency services can you?
Isaac Mah: Currently, we already provide services to 47 agencies. We are exploring adjacencies or other parties that we can work with. But right now, it's still in the early stages. And I think we would like to wrap it up together with the whole strategy review it's all kind of tied into investments we need to put in to unlock some of these capabilities as well as the wider play around our logistics business. And our core really is the ability that we give every single address for every day and how to leverage on those success factors.
Unknown Analyst: So somehow it feels like all questions are lined up to you, strategic review.
Chin Chong: The number of touch points we have, the post offices, we are reviewing on the optimal number. I think that will depend on a couple of things. One that we see, the second one can we expand the business model. Maybe we do need to fully own all our post offices. We want to balance touch points' cost. So the cost -- fixed cost maybe reset to other models, maybe the franchise network or something like that. So these are the ideas that we are but we've got nothing to share with you.
Unknown Analyst: How much of your post office rationalization is dependent on rentals versus -- I'm trying to see whether the focus is on improving revenues at current network or cost is also a factor you think cost is just too much.
Isaac Mah: I think it will be a combination of both in any kind of business, you have to look at what's the opportunity in the market that can grow the top line as well as the cost is involved in. So it's definitely a combination of the 2, not one or the other.
Unknown Analyst: In your slide, you see revenue decline from the agency services. There were also higher rental income.
Isaac Mah: So maybe -- so if you think from that perspective, the post office segment has not only have income from providing services itself, but some of the post offices no longer occupy the full footprint. So we have actually leased out some of that. So that's in the rental income portion of that segment. However, given our network of post offices is finite, and we won't -- in sense, we won't be renting more space just to lease it out, if that makes sense. So the opportunity -- while there might be opportunities there to continue to grow the rental income network, it will be fairly limited.
Unknown Analyst: Any thoughts on trying to do something with regards to collection points, franchise.
Su Yin Neo: We already do that. Yes, we already do that. So...
Unknown Analyst: [Technical Difficulty].
Su Yin Neo: Yes. Actually, so in the [Technical Difficulty] agents that they operate on, for example, we have mom and pop store, [Technical Difficulty]. So they also collect on our behalf. We realize that I think in our business that drives the way our consumers our further investment into infrastructure is definite not the way to go, which is why as you can see through working with partnerships and all using third party, all kind of third party we are open to explore how our network and keeping costs low such level cost item that...
Unknown Analyst: What's the feedback so far, Finding it more efficient, running.
Su Yin Neo: Yes. So we obviously have to study profile of where users are. For example, a lot of it is really in our first mile network. So our first mile network is where your sellers are the ones that's using us through the platform to then deliver for us to then pick up items rather than us going to a door to pick up 1 or 2 items, you can drop it off at your convenience at these locations. And given that now we've got 2,500 of them all over the island, working with the likes of Pick, Cheers and all have been very, very helpful in now bringing that convenience down to 10 minutes everywhere. So that's been a great extension of our convenience points. To improve the target audiences, which a lot of it is the upstream customer that we have, which is the sellers really in the success of keeping our cost of the network.
Unknown Analyst: Is there anything more can do to optimize it better or most of the benefits are already captured?
Su Yin Neo: Well, I think it's a matter of now finding the right partners, how more could you expand that without incurring additional cost --.
Chin Chong: I believe we can do more. I mean in a couple of ways, in our own post offices where our margins will be converged. I think if we can find a way to run our own post offices at lower cost, that will improve margins. Of course, in the partner network today, I think awareness is not so great because you also asked the question. So I think we probably can drum up awareness and work out the processes in such a way that our margins. I mean even the network itself, we are working together now. We also can leverage on that to make it more [Technical Difficulty]. If you note some of the moves that I think has undertaken, we are trialing the posting of letters at the post office box, that is [Technical Difficulty], letterbox nest, our asset line. We are the only ones with that access and all those things letters. So letters plus more parcels is one area we will be also looking at and see how we can leverage and squeeze more out of our infrastructure. So we have our own infrastructure, the partner infrastructure. We will see how we can lower cost to serve and maybe get more volumes into [Technical Difficulty].
Unknown Analyst: In the SGD 30 million investment at the parcel sorting center in [Technical Difficulty] at what point can that center completely take over parcel and [Technical Difficulty] Is there a time line.
Su Yin Neo: Middle of next year.
Unknown Analyst: By next year.
Su Yin Neo: Middle of next year.
Chin Chong: But it will not fully take over. We will take over [Technical Difficulty].
Su Yin Neo: For parcels, yes. Parcels, yes, but we also -- in this facility, we also got the processing capability for larger parcel is really focused primarily on the small parcels. But as you know, primarily about 70%, 80% of parcels that come across the cross-border domestically are small. So we will generate about 400,000 capacity just from this [Technical Difficulty].
Unknown Analyst: [Technical Difficulty]
Su Yin Neo: Cross-border [Technical Difficulty].
Unknown Analyst: And the large ones will be moving...
Su Yin Neo: The large one is already at the logistics.
Isaac Mah: Currently, there's still -- we still process [Technical Difficulty]. I think his question was when will -- will we ever move.
Unknown Analyst: Everything. That facility is quite big. I've seen it.
Chin Chong: I think it will not take over everything because we've got the sorting center for mail that is here. There's a certain shelf life to it and there's a certain purpose of extremely digital. I mean the utility of course, if we completely write down that thing it's going to hit our focus. So over time, we will migrate and concentrate more and more so [Technical Difficulty].
Unknown Analyst: [Technical Difficulty] So is there any change in stance?
Chin Chong: We are reviewing that stance. And once we are ready, we --.
Unknown Analyst: Secondly, is there any [Technical Difficulty] I think there's a very good delivery network can deliver [Technical Difficulty]. I think also government something that --.
Chin Chong: I'm not sure NTUC [Technical Difficulty] but se we talk to --.
Unknown Analyst: [Technical Difficulty]
Su Yin Neo: [Technical Difficulty]
Unknown Analyst: For your cross-border, which are still profitable or it is very dependent on postal network.
Su Yin Neo: Yes. So currently, when we reintegrated the international business, I think we primarily went back to our foundation, which is postal. So the postal network continues to be the most cost effective way of doing deliveries. However, as maybe compared to some service levels are probably not as high as compared to [Technical Difficulty]. So where we are looking for opportunities now is if there are consumers and customers that are not looking for express level delivery, there is a space for us. And it continues to be profitable [Technical Difficulty]. So currently as Isaac alluded to in his presentation, a lot of this is only when we have the volume and the cost.
Unknown Analyst: So have you kind of still a large amount non-postal network related cross-border logistics.
Su Yin Neo: Currently, not as much as we have focused on what we do best. But that obviously does not stop us from working on partnerships. Like for example, the recent U.S. duty paid solution that we introduced was actually working with a partner and that is on a commercial solution.
Unknown Analyst: The SGD 30 million, the new sorting center -- you also mentioned that triples your capacity?
Su Yin Neo: Yes, our small package sortation capacity, which is currently now housed here. So once that is ready middle of next year, it actually triples what we can do for small packets.
Unknown Analyst: My understanding is the bottleneck still largely at the last. So even if you spend -- I know [Technical Difficulty] I think the capacity does it really move the volumes?
Su Yin Neo: I think what we always try and get out of network in -- particularly in the last mile because of density. For us, we are very fortunate because we run a postal network. We actually deliver to every address. But sometimes you open, right? But the moment we can increase density, which means if we can deliver more to a single location, that makes our network a lot more ...
Unknown Analyst: And that bottleneck is at the sorting center?
Su Yin Neo: Currently now for us, it's actually [Technical Difficulty].
Chin Chong: Probably a change. So sorting center, we increased capacity. Last mile, if you densify, you bring on more parcel...
Unknown Analyst: My impression was always the last mile was the bottleneck rather than sorting...
Su Yin Neo: For us, increasing the capacity to process is definitely one of the key drivers for improvement of revenue.
Unknown Analyst: Just to follow on this, you said that it will help your e-sellers the convenience for the e-sellers. But in this, I presume there will be more critical to capture the inflow rather than the outflow. I mean, correct me I'm wrong or maybe you're referring to the e-sellers that really a large part of postal volumes...
Su Yin Neo: Actually, there's 2 components. [Technical Difficulty] coming a lot from China. There's also obviously a lot of domestic sellers. They actually buy from overseas, then we sell here. So essentially the same -- they're all in the same thing. It's just a matter of selling what are coming from.
Isaac Mah: I think it's also important to note that they are selling through the post offices.
Su Yin Neo: Yes.
Isaac Mah: So basically, your convenience for them makes the platform and the platform more [Technical Difficulty]. So it's a virtuous cycle. While it directly benefits the convenience of these small sellers, it's part of the platform strategy. So it's the overall ecosystem.
Unknown Analyst: Just last one for me. Your income [Technical Difficulty] but at the same time, your interest expense [Technical Difficulty] net cash. So I was just wondering, will there be -- will you be kind of moving further down.
Isaac Mah: So interest expense has actually fallen off quite a bit versus last year. I think previously, we carried even at SingPost group level, we carried about SGD 300 million in debt to Australian business. That has now all since paid down. So it has actually come down a lot versus last year versus if you compare it to our cash holdings, it is actually not that big because the amount of interest earned on the cash is actually higher. So we do still have 2 tranches of bonds outstanding, one, SGD 100 million tranche and another [ SGD 250 million ]. On top of that, there's also the perpetual of [Technical Difficulty]. But if you look at the kind of -- because that is a hybrid, right? So on the kind of the equity accounting available to us, we are seen as a net cash position.
Chin Chong: Your question is especially the interest rates come down, [Technical Difficulty] I think some of that.
Unknown Analyst: Just a follow on Paul's earlier question talking about densifying the last mile that has to do with the capacity on these orders. Quickly understand. Are you actually having shortfall there a pipeline which is stuck at the sorting center? Or are you thinking that once it triples, then you'll be able to this investment is to address the backlog volume preparing for [Technical Difficulty].
Su Yin Neo: [Technical Difficulty] So what happens now is that during the peak period, the period where there's a lot more volumes, you have to then at the bottom. So in our business, unless you have the automation and the sortation capabilities, then the alternative is. [Technical Difficulty] And as you know, people cost is always going up. So this investment is reaching the point where we recognize that we need the capacity. We need the cost of each item to then be lower. So it was the right time to put investment in, one, address existing prices that we have in terms of requiring men to do the issue as well as to create capacity to allow our customers to go alongside with them as that business grows every year.
Chin Chong: [Technical Difficulty]
Selena Chong: We have time for maybe 1 or 2 more questions. Anyone? If not then we'll just bring this session to an end. We want to thank everyone for participating. Cheers.